Operator: Good day, ladies and gentlemen and welcome to the Celanese Corporation Earnings Third Quarter 2008 Financial Results Conference Call. My name is Sandy and I'll be your coordinator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of today's conference. [Operator Instructions]. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's conference, Mr. Marc Oberle. Please proceed.
Marc Oberle - Investor Relations: Thank you, my name is Marc Oberle, Vice President of Investor Relations and Public Affairs and I want to welcome everyone to the Celanese Corporation third quarter 2008 financial results conference call. On the call today are David Weidman, Chairman and Chief Executive Officer and Steven Sterin, Senior Vice President and Chief Financial Officer. The Celanese Corporation press release was distributed via business wire this morning and is posted on our website, celanese.com. During this call, management many make forward-looking statements concerning for example Celanese Corporation's future objectives and results which will be made under the Safe Harbor provisions of the Private Security Litigation Reform Act of 1995. These statements are based on management's current expectations and are subject to uncertainty and changes in the circumstances. Actual results may differ from materially from these expectations due to changes in economic, business, competitive, market, political and regulatory factors. More detailed information about these factors is contained in the earnings release and in Celanese Corporation's filings with the Securities and Exchange Commission. Celanese Corporation undertakes no obligation to update publicly or revise any forward-looking statements. Celanese Corporation third quarter 2008 earnings release references the performance measures operating EBITDA, affiliate EBITDA, adjusted earnings per share, net debt and adjusted free cash flow as non US GAAP measures for the most directly comparable financial measures presented in accordance with US GAAP in our financial statements and for a reconciliation of our non US GAAP measures please see the accompanying schedule to our earnings release which will also be posted on our website. This morning Dave Weidman will review the performance of the company and Steven Sterin will provide an overview of the business results for each segment and the financials. We'll have a question-and-answer period following the prepared remarks. Now I would like to turn the call over to Dave Weidman. Dave?
David N. Weidman - Chairman and Chief Executive Officer: Mark, thank you. And welcome everyone to today's call. I'm pleased to have this opportunity to update you on our Q3 performance, give you what I hope is some insight into our markets in these turbulent times and underscore Celanese's attractive long term value proposition. Steven will summarize the financial performance for each of our businesses in a few moments. But I like to take a brief moment to highlight our overall corporate result. Net sales were approximately $1.8 billion in the quarter, up 16% from the same period last year. Operating EBITDA was $314 million compared to $302 million last year. Adjusted EPS was $0.78 per share versus $0.73 per share last year. Keep in mind that these results include approximately $15 million of impact related to the safe and controlled shut down and restart of our Texas, Gulf Coast facilities due to Hurricane Ike. We're pleased to report that our facilities and operations were not significantly damaged by the storm. However the energy and power shortages triggered by the hurricane impacted and slowed the startup timing of many of our suppliers as they struggled to resume normal operation. At this point however, we believe that the impact is behind us. Three months ago, I shared with you our views into the future and that it was opaque due to uncertainties around global economies. At that time, it was primarily due to the probable impact that high energy, raw material and commodity prices could eventually have on our customers and their customers. Additionally, we've started to see a slowdown in economic growth across the industrial base of the euro zone. During the quarter, European economies did continue to weaken while both our North American customers and Celanese felt the impact of Ike. In Asia, demand for many of our products was sustained due to increased demand for some of our environmentally friendly low VOC products. Now as the quarter progressed, concerns about inflation were replaced by heightened uncertainty relative to the U.S. credit market. Then in late September, these markets experienced a systemic crisis that we saw spread rapidly to other regions. This had an impact as individuals and businesses ability to purchase was constrained by an overnight inability to fund their businesses as the credit market's halted. It also has fueled a dramatic change in consumer and industrial confidence, moving both groups into a wait-and-see mode as the crisis plays out. This impact accelerated in early October. The raw material and energy crisis have fallen in recent weeks. Demand today is softer in our end markets, especially in Asia. And we currently believe it is unlikely these trends will change in the near future. Though these are truly challenging times, it's important to reiterate Celanese's focus on creating value and underscore why we believe that we're better positioned to prosper in periods of economic uncertainty than others. In fact I believe it's critical for us to separate what is happening in the short term due to the impact of the credit crisis with the long term strength of the Celanese business model. There are many reasons why we remain confident in our ability to deliver value for our shareholders, but let me highlight just three. Number one, the quality of our businesses; number two, our fiscal discipline and number three, our execution culture. So now I'd like to give you more a little detail on each of this. First, the quality of our franchises. Our businesses have leading advantage positions. Our proprietary technology, spanning steep [ph] start position, end market diversity, and low cost production capabilities, allow Celanese to deliver superior returns. For example, through the first nine months of 2008 we have grown our operating EBITDA by 17% versus last year, while many others in our space were flat to down. One thing to keep in mind with Celanese broad end market and geographic balance, many of our businesses such as the Vinyl Acetate monomer and emulsion businesses have faced soft market, trough like conditions for several quarters now. Advanced Engineered Materials have seen extremely weak automotive demand and unprecedented raw material costs that have burdened their performance over the last several quarters. And also let me remind you that our Consumer Specialties businesses which account for about 20% of our earning have very little economic sensitivity. While there will continue to be challenging times ahead for some of our businesses, others are either stable or positioned for recovery. Second is our fiscal discipline and balance sheet stability. Celanese has a long standing track record of the fiscal discipline, putting the shareholders cash to work in high return, high value creative ways. Much of what makes Celanese strong and successful today came from projects that were initially developed during similar uncertain times in 2001 and 2002. For example, our Nanjing complex was conceived and initiated in the 2001 timeframe. Since then we've invested around $350 million in seven production units, six of which are already in production. And combined these units will generate between $600 million and $800 million of revenue and between $120 million and $150 million of EBITDA by the time they're sold out. And this last quarter we announced plans to build a new Ticona liquid crystal polymer unit at Nanjing, the 8th high payback project on this site. As we view the uncertainty caused by the credit crisis, we're committed to remaining disciplined. With the increased strategic value of cash and the ability to generate cash at a premium, we're very confident that Celanese can provide value for our shareholders during these challenging market conditions. In fact, we view today's conditions as fertile ground for further strengthening Celanese leading franchises and accelerating our long term strategies. We'll continue to hold a high standard against all of our financial and strategic options, whether it's M&A opportunities that will become more available in this market, high return growth or productivity projects within our businesses or returning cash to shareholders through share repurchase. We will continue to be prudent, disciplined and measured in our actions to maximize value for our shareholders. The third area that contributes to our ability to create value is our culture of execution and operational excellence. Our leadership team and all of our employees remain focused on the fundamentals. As I said earlier, in many cases there are more opportunities to create value during downturns than in expansionary times. Once again, whether it's increased focus on manufacturing productivity, cost improvement programs, helping our customers deal with a changed environment, or growth and expansion transactions; our company culture thrives on the challenge of identifying terrific opportunities in any economic environment and delivering improved results. As we look forward to the rest of 2008, key questions remain regarding both the fundamental health of the overall globally economy and the impact that the recent credit crisis has had and will continue to have on economic growth in the near term. Without positive economic catalysts we believe there would be a continued slowdown in global growth which will likely be a headwind for our industry and our customers. As a result, we see this burdening our short term performance, primarily in the form of sharply lower volumes. Given that, we are adjusting our full year 2008 outlook for adjusted EPS to between $3.40 and $3.55 per share. Despite the challenging environment, our focus remains on executing our strategy, delivering on our strategic objectives and increasing value for our shareholders. Now we plan on holding our next investor day in the spring of 2009, when the impact of the credit crisis allows the global economy a bit of time to stabilize, so we can have a more productive and constructive dialog with you. With that I'll now turn over the call to Steven. Steve?
Steven Sterin - Senior Vice President and Chief Financial Officer: Thanks Dave. Please turn to page six of the PowerPoint presentation that's posted on our website. First, our over all company results; net sales were approximately $ 1.8 billion, a 16% increase from last year's results, driven by higher pricing, increased volumes in acetyl intermediates primarily related to our Asia expansions and continued strong demand from our environmentally friendly low VOC products as well as favorable currency impacts. We experienced unprecedented raw material costs in the quarter with oil prices hitting levels north of a $145 a barrel. Our prices, volumes and productivity gains more than offset the sharply higher cost in the quarter. Operating profit for the quarter was a $151 million, up $4 million from a year ago. The 2008 results included approximately $15 million of impact from Hurricane Ike. While the 2007 results had a near equal impact related to the unplanned outage at our Clear Lake Texas facility. This quarter's GAAP results included a benefit from a partial insurance recovery payment associated with the outage last year, which offset costs related to the planned shutdown of our Pampa, Texas facility scheduled for early 2009. Adjusted EPS for the quarter, which excludes the insurance recovery and Pampa shutdown cost was $0.78, up 7% from the prior year. These results are based on a $162.9 million diluted shares upstanding a decrease from last year's share count of a $167.4 million as we have purchased shares under the authorized share repurchase plan. Operating EBITDA was $314 million, a $12 million increase from the prior year. Let's now turn to the results of our businesses starting with Advanced Engineered Materials on page seven. Net sales were $272 million, up 5% from last year driven by higher pricing and positive currency impacts. We're seeing continued success in our expansion strategy in Asia and increased penetration in new automotive as well as non-automotive applications. The piece could not completely offset the impact of sharply reduced automotive demand. Without this significant growth and penetration, volumes would have been much lower than the 6% decline we saw. With automotive build down 20%, North America and approximately 10% in Europe. We're starting to see the benefits of our successful value pricing strategy as pricing improved by 6% in the quarter. This was not enough however to offset significantly higher raw material and energy prices. We would expect to continue to see positive pricing movement over the next couple of quarters as we continue to execute these strategies. Operating EBITDA was $45 million, a $25 million decrease from last year's results. The Advanced Engineered Materials strategic equity affiliates were also impacted by the softening automotive demand and similar margin pressures which resulted in net earnings from the equity affiliate, $6 million lower the last year. On page 8, net sales for consumer specialties were $295 million, up 5% from last year's results. Higher pricing and continued strong global demand for these products and positive currency effects drove the increase. Operating EBITDA was $56 million, up 6% from a year ago on the higher pricing and acquisition synergies that we have realized from the Acetate Products Limited business. The revitalization efforts have been extremely successful and have resulted in a higher level of sustained earnings. These businesses represent leading global franchises which are economically insensitive and continue to provide stable earnings and cash flows. Turning to page 9, net sales for industrial specialties were $378 million, up 20% from the prior year on higher pricing and favorable currency effects. I'm excited about the success of the revitalization efforts as we have optimized our manufacturing footprint and reenergized our new application development process to focus our efforts on higher value added products. While we are continuing to see softness in the North American and European construction markets, our focus on environmentally friendly applications using our new low VOC emulsion, particularly in China and growing demand for specialty polymers in the photovoltaic market has resulted in significantly improved results. Operating EBITDA increased to $36 million from $18 million last year. On page 10, acetyl intermediate net sales were just over $1 billion, up 22% from the prior year driven by higher pricing and increased volumes. Operating EBITDA was $182 million, up $4 million from last year, as the higher pricing and increased volumes were offset by higher raw material and energy costs. While VAM demand continued to be soft in North America and Europe related to a slowdown in residential and commercial construction, demand for other acetyl products remained healthy. As Dave said one interesting trend here is the increased use of our environment friendly low VOC products in many applications. Dividends from our Ibn Sina cost investment increased by approximately $5 million on the strength of methanol and MTBE margins. Our equity and cost affiliates performance are shown on page 11. I won't go through all the details on the chart; however you see that our strategic affiliates continue to deliver stable results and significant value to our portfolio. On slide 12, you can see that we continue to deliver strong cash. Net operating cash flow from continuing operations year-to-date is $335 million compared to $371 million last year. Adjusted free cash flow year-to-date is a $195 million, similar to the strong levels seen a year ago. Beginning with slide 13, I'd like now to turn to a topic that I'm sure has become of interest in recent weeks and how I devalue [ph] that Celanese has in its balance sheet and current debt structure. On the left, you can see the primary components of our debt. The most important of which is our $2.8 billion term loan we entered into in April of 2007. Keep in mind there are currently no maintenance covenants on these loans. We ended quarter with $584 million in cash, so a net debt figure of approximately $3 billion. Additionally, we have a committed and undrawn $650 million revolver facility spread across 25 different financial institutions. Overall, we view the structure to be cost effective, stable and flexible. Slide 14 provides another view as demonstrated by the operating EBITDA interest coverage graph shown on the top left. As you can see, we continue to improve our coverage ratios. On the bottom left, you can see our long term debt repayment schedule. Our term loans have maturity in 2014 and only 1% annual amortization. With limited payments required over the next five years, you can see why we believe this debt is a real advantage in terms of stability. In addition, this debt is low cost at LIBOR plus 150 basis points. To summarize our 2008 guidance, as Dave mentioned earlier we're adjusting our outlook to between $3.40 and $3.55 a share and our operating EBITDA between $1.32 billion and $1.355 billion. This guidance is based on an adjusted tax rate of 26% and a full year average of $165 million shares outstanding. With that, I will now turn the call back over to Mark to open the Q & A.
Marc Oberle - Investor Relations: Thank you, Steven. And Sandy if I could ask you to give some instructions, we'll get to the Q & A. Question And Answer
Operator: [Operator Instructions].
Marc Oberle - Investor Relations: As we begin the queuing process, I'll remind you if we could limit folks to one question and a follow up in the first go around and if we have time, be happy to put you back in the queue and make sure that we get as many questions as we answered... can get answered in the time that we have today.
Operator: And the first question comes from the line of David Begleiter of Deutsche Bank. Please proceed.
David Begleiter - Deutsche Bank: Thank you. Good morning.
David N. Weidman - Chairman and Chief Executive Officer: Hi, Dave.
David Begleiter - Deutsche Bank: Hi, David. If you could just go look at the Q4 guidance, I think it points around $.043. Can you do a water fall [ph] from what you earned in Q3 of $0.75, how you get the $0.43, either by segment or by a business line, what the differences are?
David N. Weidman - Chairman and Chief Executive Officer: Yes. Happy to do it; let me start first with our Consumer Specialties business, this is a business acetate fiber going in to tobacco filtration and high performance food sweeteners, very stable business, economically stable not a lot of seasonality in the business. Our Advance Engineered Materials business has a little bit of fourth quarter seasonality to it. But as we look at that that's seen less impact than our acetyl intermediate business which I'll get to, principally because it has North American and European exposure and we saw most of the impact in the third quarter. Our Industrial Specialties business that's been in trough like conditions, for the last, I don't know, two years let's say. We've gone through our restructuring program and also the program with new technology having a good impact and I would see rolling into fourth quarter from third quarter sequentially, a little bit of seasonality with that, but relatively stable. Our acetyl intermediate business is where there is a sharp volume pull back. And it's isolated largely to Asia and principally to China. Dave, we saw a third quarter volume and demand for most of our products primarily acetic acid holding up well. Prices were strong, demand was strong and had some good demand, good price stability, frankly out through the end of September. And then as the Chinese came back from vacation in early October, demand just dropped sharply is the word that we use. As we look at it, there's probably two or three principle possible [ph] factors for it, ultimately China exports about half of what they produce to Europe and North America and I think consumer sentiment driven by the credit crisis has affected demand. There's a very long supply chain in this market and our sense is that part of what we're seeing has to do with just inventory correction through a substantially long supply chain going out of China and into Europe or North America. Another part of it has to do with what's going on in China itself. As you read field reports and others, direct investment by the Chinese government, direct foreign investment has dried up to some degree and so there's impact associated with that. So we're continuing to sort it out and as we see the fourth quarter, that particular segment has increase in difficulties to forecast and predict demand. But this is driven largely by demand and not by new capacity coming in. And as we look at it we get to... we see what's the underlying possible factors are and provides more clarity as we go forward.
David Begleiter - Deutsche Bank: In China some of the higher cost producers, the ethylene and ethanol based producers are they showing down or just producing at lower operating rates.
David N. Weidman - Chairman and Chief Executive Officer: Yes, the rest are... that's the greatest part of the business model that we have. There's about 10% to 13% of the production capacity that is very, very high cost. Ethanol, Ethylene; all of that production is out of the market now. And then there's another 13% to 15%, that is very high cost because it's based on methanol carbonylation technology. Still a very high cost production capacity. Prices have dropped to the point where they're now the marginal producer and they set the price curve. And as you'll see in the graphs, the three principal ones in that region, Sopo, Wujing and CPDC have recently announced that they are considering shutting down their operations because they're in to their marginal economics. So as we look at it, I think the underlying story here is that this wonderful cost period that we have still is holding. It's having the effect that we would anticipate and... but the demand is down.
David Begleiter - Deutsche Bank: And just last where are acid prices today in China, Dave, and where could they go in Q4?
David N. Weidman - Chairman and Chief Executive Officer: Well, they are in the $500 range. They have been to $6 to $650 in Q3, they are in the $500 range now. And that's where these producers are beginning to pull out in the market. Our projection is that we at least hold our market share during this period.
David Begleiter - Deutsche Bank: Thank you very much.
Operator: And you're next question comes from the line of Kevin Mccarthy of Bank of America Securities. Please proceed.
Kevin Mccarthy - Banc of America Securities: Yes, good morning. Dave how would you characterize trough margins in your Acetyl Intermediates business?
David N. Weidman - Chairman and Chief Executive Officer: That's an interesting question. Kevin our trough margin is historically up, take you back to the last trough that we went through in 2000, 2001. We were operating in the low double digit range at that point. Now since that time, there's lower cost in our facility due to advantage of raw material position. There's a modestly different competitive profile. We would say that there is more producers in the higher cost range than there may have been in the past. So even though it's hard for us to project, every economic downturn or trough is shaped differently and looks differently. You've still got... let me put it this way about 25% of the capacity out there that's high cost and again, I'll underscore one other thing, Kevin and that is that our fourth quarter view is that margins are relatively stable to what we saw in the third quarter, but it's volume driven.
Kevin Mccarthy - Banc of America Securities: So to follow up that, given the sharply lower volumes you alluded to Sopo and the Taiwanese producer I think earlier in your comments.
David N. Weidman - Chairman and Chief Executive Officer: Yes.
Kevin Mccarthy - Banc of America Securities: But given these sharply lower volumes do you foresee any opportunity for capacity rationalization, either among your competitors or within your own portfolio at higher cost facilities above and beyond what you've already announced at Pampa.
David N. Weidman - Chairman and Chief Executive Officer: I'll answer the last part of it first. We... with Pampa out of our system our future plans, our portfolio plans in aggregate have the lowest cost positions in the industry and within each of the regions they're very, very well positioned. As far as rationalization within the industry, these prices certainly and these margins certainly do cost high for some of the higher cost producers that don't have the advantage of technology or the advantage of raw materials that we have. I can only speculate what they will do. I would say though that alluding to some earlier remarks in my comments and in Steve's comments we view environments like these as being great opportunities for us to move our strategy forward. You have opportunities in this type of environment that you would never have in an expansionary economy. We do those things real well, Kevin and we are positioned with the balance sheet, the resources, the culture that takes advantages of these opportunities to move our strategic direction forward rapidly.
Kevin Mccarthy - Banc of America Securities: Thank you very much.
David N. Weidman - Chairman and Chief Executive Officer: Thanks Kevin.
Operator: And your next question comes from the line of P. J. Juvekar [ph]. Please proceed.
Unidentified Analyst: Good morning, David.
David N. Weidman - Chairman and Chief Executive Officer: Hello, P. J. [ph].
Unidentified Analyst: Can you just tell us how much of your production in China stays back in China versus how much is it exported?
David N. Weidman - Chairman and Chief Executive Officer: Yes, our acetic acid in China is very broad based and services broad economies. You've got a bunch of it growing into polyester, that ends up in the [indiscernible] plastics. You have a bunch of it growing into coatings and adhesives applications that end up in either construction in the market or in furniture and other products. I would say that we haven't traced the molecule with any precision but we think we're roughly what the Chinese economy is which is, our manufactured goods about half stay in the country and about half go out.
Unidentified Analyst: And what are you seeing in terms in of domestic demand there since you have such big operations and a good window into that economy?
David N. Weidman - Chairman and Chief Executive Officer: There is three elements of demand drive in China. One is domestic consumption for Chinese customers or consumers. So far we haven't seen a large change in that, the malls are still full, people are seem to still be buying, there's still seems to be level of confidence. Get a consumer out there purchasing and doing the things, we're doing. Remember the Chinese don't have 401 K programs and most of them in their homes. So there hasn't been a psychology and wealth destruction that there is in Europe and North America. The second element is government spending and you've seen that the government has slowed down spending beginning in 2006 and a quarter or two ago they, they began to reverse that spend. I think most reports coming back would say that they were slow in doing that, infrastructure build has slowed down fairly significantly. That's more of the, I don't know, quarter two, quarter three story than just here in quarter four, but the last element that truly is exports and it feels that this is an export driven phenomena going on in China. And it also feels that through the entire supply chain from us to our customers to their customers putting on a boat, shipping it out of China, going to North America or Europe there's a substantial amount of inventory correction going on through that, very, very long chain.
Unidentified Analyst: Great, thanks with that.
David N. Weidman - Chairman and Chief Executive Officer: That you are welcome, PJ [ph].
Unidentified Analyst: One quick question for Steve, if I may?
Steven Sterin - Senior Vice President and Chief Financial Officer: Hey, PJ [ph].
Unidentified Analyst: Quickly on your term loan, it's LIBOR plus 150 basis points, given the volatility we've seen on LIBOR rates, how are you managing that and eventually I know this is a low interest rate, but eventually do you want to put far permanent financing in place? Thank you.
Steven Sterin - Senior Vice President and Chief Financial Officer: Yes, hi P J [ph]. So when you look at our financial structure today we talk about stability, we have stability in the repayments but we also have it on the interest cost side. About three quarters of our debt is at fixed rate. So, we're able to lock in last year to pretty good interest rate. We're averaging about six in the quarter today on an overall company basis. So not a lot of volatility coming out through interest. Yes, longer term, covenant like term loans, availability of those in the 2013 and 2014 time frame, no certainty but, as you can imagine probably won't be those types of financing structures. So, as we continue to move out looking at the opportunities Dave's talked about, preserving cash for those opportunities and also looking at long term capital structure, we'll look at a number of different capital structure opportunities when we get closer to the end of the term loan program.
Marc Oberle - Investor Relations: Next question?
Operator: And your next question comes from the line of Frank Mitsch of BB&T Capital Markets. Please proceed.
Frank Mitsch - BB&T Capital Markets: Hi, good morning gentlemen.
David N. Weidman - Chairman and Chief Executive Officer: Hello Frank.
Frank Mitsch - BB&T Capital Markets: Dave, you've talked before about the highest cost capacity in the acetyl's chain in Asia coming offline and prices having dropped to $100 $150 a ton there. And then you suggested that right now at the $500 level we're near the breakeven cost for that next tranche of high cost capacity.
David N. Weidman - Chairman and Chief Executive Officer: Yes.
Frank Mitsch - BB&T Capital Markets: Can you talk about what level if in fact these guys shut there, what level might pricing drop down to afterwards, how likely that would be. And then if you could just offer a thought or two, on where operating rates were in the third quarter and what your expectation is for the fourth quarter?
David N. Weidman - Chairman and Chief Executive Officer: Okay. You have three questions there, I'll try to remember. In the 550 range, you've got... in the 500 range, you have, as I said before somewhere between 10% and 13% of production capacity. That is as it's next tranche. And then after that it kind of feathers in as you move down, as you move down the price curve or the cost curve. Those that are up in the higher range are three manufacturers they tend to be more larger facilities, but there are a number of others that are trying to feather down off of that. So it's more of a, a more gently declining slope than going from the ethylene guys down to this first tranche of methanol carbonylation we saw. The other element here is capacity utilization in the fourth quarter. The industry was running 92% to 95%, it was fairly high. And then you got... that was the third quarter and the fourth quarter, it's really hard to determine what's going in the fourth quarter. We would say right now based on what we are seeing there, you're probably the 75% to 85% range but with only 3 weeks in the quarter it is hard to get a lot of precision on it.
Frank Mitsch - BB&T Capital Markets: And given this outlook for the fourth quarter, what level of confidence do you have that, that improves in Q1 or Q2 or do you not have any confidence that it's going to improve that quickly?
David N. Weidman - Chairman and Chief Executive Officer: Well, Q4 is difficult to judge at this point. 2009 is very, very difficult, near impossible. We're trying to get a sense of what 2009 is going to look like. In my mind Frank there was weakening global economy prior to the credit crisis and then you had the systemic failure in credit and its basically threw all trend lines off. And as we look at it, it'll take a while for us and I think to lot of people to sort out how this systemic failure of our credit markets affected consumer confidence, business confidence and the ability for people and businesses to borrow and do business. And so we're in the process of sorting that out and as I said as we go forward here. We would anticipate being able to give a view of 2009 as we release our fourth quarter results.
Frank Mitsch - BB&T Capital Markets: All right, great. And then lastly, any expectations of new capacity in 2009?
David N. Weidman - Chairman and Chief Executive Officer: In acid?
Frank Mitsch - BB&T Capital Markets: Yes.
David N. Weidman - Chairman and Chief Executive Officer: No. No, we've got a capacity that comes at the end of the year but there is a couple of dry [ph] capacity unit coming up towards the end of the year or early 2010. We keep hearing kind of 2009... early 2010 we keep hearing about delays in some of that capacity but 2009, none of that.
Frank Mitsch - BB&T Capital Markets: Great. Thank you.
Operator: Thank you. And your next question comes in the line of Edlain Rodriguez of Goldman Sachs. Please proceed.
Edlain Rodriguez - Goldman Sachs: Sure, good morning.
David N. Weidman - Chairman and Chief Executive Officer: Hi, Edlain.
Edlain Rodriguez - Goldman Sachs: Dave, a quick question for you. Your exposure to Asia has always been a strong positive.
David N. Weidman - Chairman and Chief Executive Officer: Yes.
Edlain Rodriguez - Goldman Sachs: Now that we're seeing a slow down there, can you address concerns that this will be damaging to the attractiveness of the portfolio going forward?
David N. Weidman - Chairman and Chief Executive Officer: Well, Ed, we always felt that China was... a fundamental part of our strategic pillar is to follow our customers and be in the markets that they participate in. The markets are growing in China like any other region of the world. We've also judged, China will continue to expand but the path forward will be lumpy. We're experiencing one of those bumps in the road right now. In my mind, for the strength of the company and the businesses, if you don't grow, you're on a pathway to bankruptcy. And that's an extreme statement but we're forward leaning, we're growth oriented. And being in these markets with the lumpiness associated with it, it's something that occurs. My judgment is that the Chinese basically are unseasoned capitalists at this point. And mind you for the last 20 years if you could make it in China, you could sell it and export it. This is the first point in time I believe where there's been set back in demand that's forced a lot of Chinese producers not just through our level but through the chain to check that basic consumption. And with that there will be my belief, more stability in the market, a more seasoned environment and these types of destructions I believe they will occur but I think they'll be less dramatic than what we believe we're seeing at this point.
Edlain Rodriguez - Goldman Sachs: Okay, can you... I have a quick follow up. Can you talk about your appetite for further share buyback?
David N. Weidman - Chairman and Chief Executive Officer: Yes, happy to do that. We do a share buyback in the second quarter and in the third quarter. As we look at it there are opportunities we believe that will present itself now, that will be higher value for shareholders, than share buyback even with the absurdly low share prices that we have today. And we have always been and we will continue to be disciplined in the way that we approach the use of the shareholders cash and we'll always look at the opportunities in front of us, and spend the shareholders cash in the most disciplined and the most attractive way possible.
Edlain Rodriguez - Goldman Sachs: Thank you.
Operator: And your next question comes from the line of Gregg Goodnight of UBS. Please proceed.
Gregg Goodnight - UBS: Good morning, gentlemen. By near term opportunities, what are you saying, are you implying that maybe there's some M&A on the horizon that you could possibly take advantage of now?
David N. Weidman - Chairman and Chief Executive Officer: Gregg I would answer that in environments like this, contrasted with environments that we just came out of, there's probably more people willing to do things than there have been. We certainly know that to be the case, if we go back to 2000, 2001. We were able to buy an acid factory as an example, set that up back in that period of time. We did our downstream acquisitions in emulsions and the CDOH [ph] business during that period of time. And we think based on not only the strategic value but the financial value those were incredibly attractive acquisitions. So though we don't have anything specific to talk about, we can tell you that we have our heads up, our eyes open and are looking for opportunities.
Gregg Goodnight - UBS: Okay. Great, as a follow up to Frank's question, you mentioned operating rates in Asia right now are in the say mid 70's range. Those, I assume are industry operating rates. Commenting specifically on your operating rates are you able to optimize your Singapore, Nanjing distribution where you can run say one plant harder than the other, or can you give us a summary of how you're managing production from those two units?
David N. Weidman - Chairman and Chief Executive Officer: Well as I indicated, we're three weeks into the quarter and it's hard for us to judge what the rates going to be across the industry for the quarter. I said 75% to 85%, but definitely we're... the first two weeks have been very low demand period. But yes, Greg, I mean that's one advantage of a company like Celanese, we're able to optimize our integrated assets fueled change. Not only are we able to produce that at the lowest cost facility but we're also able to move our products into the most attractive end-use markets. Whether it be all way downstream to a notion market or buying last date [ph] in a high grade market and our guys are on top of it and are coordinating these things. There's internal process that have daily cycle on some of them, a weekly cycle on others that steps back and through a supply chain effort moves products from the most attractive facility to the most attractive market.
Gregg Goodnight - UBS: Am I correct in assuming that you would run Nanjing harder and if there is a cut back potentially Singapore would be the swing unit?
David N. Weidman - Chairman and Chief Executive Officer: Nanjing is the lowest cost facility in Asia.
Gregg Goodnight - UBS: Okay, that's it. Thank you very much.
David N. Weidman - Chairman and Chief Executive Officer: Thanks, Gregg.
Steven Sterin - Senior Vice President and Chief Financial Officer: Thanks Gregg.
Operator: And your next question comes from the line of William Matthews of Canyon Capital. Please proceed.
William Matthews - Canyon Capital: Hi, good morning.
David N. Weidman - Chairman and Chief Executive Officer: Good morning.
William Matthews - Canyon Capital: As recently as September 26 you affirmed full year guidance. And I think you mentioned in your comments after a vacation break in October when things resumed that gave you information that caused you to reduce the full year guidance. So given its only October 21, can you give us a sense of how that progressed and why you had such certainly to take down the quarter?
David N. Weidman - Chairman and Chief Executive Officer: Sure, happy to do it. You know the impact of the credit crisis has moved its way through the system here only over the last three or four weeks in our view. As we came out in September and looked at not only demand but also pricing that we were seeing in Asia, things were strong. Pricing was in... for acetic acid that's kind of a market for demand, because Asia pricing tends to be spot short term. But pricing there was holding in the $600 to $650 range. And then, came the vacation and as folks came back from the vacation, basically orders just stopped. There was just not a lot of demand out there and with that our prices began to drop and there's a lot of reports out there that prices and particularly reports on what Asia pricing is doing and it continued to fall through the 600 range into the 550... 500 to 550 range where it's out there and stabilized today. So and as we talked with our customers and tried to get a look through the system down to the customer's customers, they're just a... there's a dramatic drop off, a sharp drop off in fundamental demand. And it's having a broad based overall impact through the industries that we serve. As we... so as we look at it that's what happened. How right... the cut... and as I said we're three weeks into it. How much of it was driven by fundamental demand, draw back in Europe and North America or China? How much of it is inventory correction within the chain? At this point in time, we're still trying to sort that out and understand what the dynamics are. We do know that there is significantly decreased consumer confidence and business confidence, the credit is tighter. But the willingness and the ability for people to buy based on what they saw in the last part of September, in credit market is having an effect and having an impact.
William Matthews - Canyon Capital: Okay. And then if you think about demand in China internally kind of in three buckets: One, internally generated demand; two, demand generated from government spending and three, demand related to export. I was under the impression that most of the product that you produced in China was for the former two and not for the latter. But that doesn't seem to be the case given your comments. It seems like you do have substantial exposure to the export economy, is that correct?
David N. Weidman - Chairman and Chief Executive Officer: We produce in China for China. But the customers that we produce for either themselves or principally to others, produce products and we think we're pretty closely tied to the Chinese GDP. So about half of China as we look at it is export based. So, we felt product it eventually ends up in fiber fabric textile application, that gets made in China and exported, we end up with furniture some of it is used internally and some of it's exported. We end up in water bottles that are principally used inside of China, we end up in coating applications that principally end up inside of China for their houses or offices there. So, that's the basis of the sales that we've had. But you are right in saying that most of our products, in fact all the products that we make in China, we sell in China. But there is an end market exposure associated with those products eventually end up finally being consumed.
William Matthews - Canyon Capital: Okay and then final question. Cash balance is now about $580 million, net debt $3 billion. What are the numbers that you feel comfortable with that we can call on modeling as your minimum cash balance or maybe what leverage your comfortable going to?
Steven Sterin - Senior Vice President and Chief Financial Officer: Yes, where we are today, we're comfortable with our balance sheet, both in terms of the amount of cash it takes to service our debt, in the terms of our debt. Cash balance we've got a nice cushion. We think about minimum cash needed around the business of $250 to $300 million to continue to generate and invest in the business. As Dave said cash is at a strategic premium today. So I think cash available for these opportunities we've talked about is a priority for us.
William Matthews - Canyon Capital: Okay, so the cash available then would be around $250 and $300 million to spend on these opportunities.
Steven Sterin - Senior Vice President and Chief Financial Officer: Roughly.
William Matthews - Canyon Capital: Okay. Thank you.
Operator: This concludes the question-and-answer session. I would now like to turn the presentation over to Mr. Marc Oberle for closing remarks.
Marc Oberle - Investor Relations: Thank you everyone for today... joining today's call. As always if you have any questions feel free to give me or anyone on my IR team a call. We'll be more than happy to continue the conversation. Thank you very much and we'll look forward to talking to you soon.
Operator: Thank you for participation in today's conference. This concludes the presentation and you may now disconnect. Have a great day. .